Operator: Good afternoon. My name is Sarah, and I will be your conference operator today. At this time, I would like to welcome everyone to the Royal Gold Fiscal 2012 First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. (Operator instructions) I would now like to turn the call over to Ms. Karen Gross, Vice President and Corporate Secretary. Ms. Gross, you may begin.
Karen Gross: Thank you, operator, and good morning and thank you for joining us today to discuss our first quarter 2012 results. This event is being webcast live and you will be able to access the replay of the call on our website. Participating on the call today are Tony Jensen, President and CEO; Stefan Wenger, CFO and Treasurer; Bill Heissenbuttle, VP of Corporate Development; Bill Zisch, VP Operations; Bruce Kirchhoff, VP and General Counsel; and Stanley Dempsey, Chairman. Tony will open with an overview of our quarterly results and then Bill Zisch will then discuss our operations and review some of our producing and development property. After management completes their opening remarks, we'll open the line for Q&A session. Before we begin, I want to remind everyone that this discussion falls into the Safe Harbor provision of the Private Security Litigation Reform Act. A discussion of the company's current risk and uncertainties is included in the Safe Harbor statement in today's press release and is presented in greater detail in our filings with the SEC. With that, I'll turn the call over to Tony.
Tony Jensen: Good morning, and thank you for joining us today. Royal Gold reported another record quarter of financial performance for revenue, cash flow from operations and net income. Revenue increased 42% to $64.5 million. Cash flow from operations increased 35% to $46.2 million and net income rose 91% to $22.5 million or $0.41 per share. Our net income was adversely impacted by $0.02 per share due to restructuring at our realty at Relief Canyon in Nevada. 76% of revenue during the quarter came from precious metals, which is up from the June quarter of 68%. This change was driven by an increase in the percentage of the gold royalty production as well as a change in metal prices. As compared to the June quarter, gold and silver prices increased 13% and 2% respectively, more than offsetting declines in base metal prices of 2% to 7%. For the quarter, approximately 47% of our relative revenue came from our three producing cornerstone properties, including Andacollo, Voisey's Bay, and Penasquito. And Andacollo was again our largest revenue source contributing approximately $17 million. Voisey's Bay reported a solid quarter with a contribution of approximately $7 million, while Penasquito had nearly $6 million in revenue. Holt emerged during the quarter as an important contributor adding $3.6 million of revenue. I should just mention that this project is not yet up to full production. And Bill Zisch will speak more to that in just a few moments. Six of our top ten revenue generators increased production compared to the June quarter. Assets with lower production include Mulatos and Dolores, which were negatively impacted by insufficient supply of cyanide; Voisey's Bay, due to scheduled maintenance at smelters; and Penasquito as it continues to work through the grinding modifications necessary to reach full production. In addition to Penasquito and Holt, we still have a number of mines that have not yet reached full production including Andacollo, Canadian Malarctic, Las Cruces and Wolverine. With that, I'll turn the call over to Will Zisch, our VP of Operations, to discuss these and other projects in more detail. Bill?
Bill Zisch: Thank you, Tony, and good morning everyone. We currently have 37 producing properties in our portfolio. As Tony mentioned, six of them are in early stages of production, either working to ramp up or to establish optimal levels of production, thus, making their output a bit more variable. And Andacollo in Chile, production exceeded in June quarter by 25%. Teck continued to improve and add to the crushing and grinding circuit. Production average is at about 40,000 tons per day, while their design capacity is 55,000 tons per day. Improvements in production are the result of the installation of a small crusher to feed course ore to the pebble crusher and by an increase in power to the SAG mill motor of about 10%. They are planning to install a 20,000 ton per day pre-crusher plan which they anticipate it will be completed in the first quarter of calendar 2012. In addition, Teck is completing a feasibility study to expand the operation beyond the 55,000 tons per day and as indicated that the study will be finalized by calendar year-end. At Penasquito, Goldcorp reported that testing and plant modifications were completed in July and August allowing normal operating conditions September to achieve record average throughput of 102,000 tons per day. Progress continued on the supplemental ore feed system to ensure a sufficient quantity of pebble feed to the high pressure grinding roll circuit. They expect this system to be completed by the end of 2011. A project to enhance the tailings dam facility is ahead of schedule. Additional water supplies have been added to eliminate current and future short pulse from water retention issues. With the anticipated completion of these projects by the end of this year, Goldcorp expects to achieve the design throughput of 130,000 tonnes per day by the end of the first quarter of 2012. In Canada, three of our principal properties, Holt, Wolverine and Canadian Malarctic, have mixed revenue results for Royal Gold compared to the prior quarter. Holt’s production nearly doubled from the June quarter as development progress to support higher daily mining rates. Head grade increased steadily as a higher grade reserves in the remainder of the C103 zone were mined and better development grade was obtained in Zone 4. The mill averaged over 700 tons per day of Holt ore for the quarter and St. Andrew’s anticipated switching full mine capacity for 1,000 tons per day by the end of March 2012 quarter. In addition to mine improvements, a new SAG mill motor coupled with other operation improvements is also in throughput increases of about 6% at the Holt mill. We recently visited Yukon Zinc’s Wolverine mine in the Yukon. Their initial ramp-up schedule has been impacted by fatal accidents that resulted in the cessation of mining from April 2010 to February of this year. Recent mine production has been approximately 500 to 600 tons per day and the project continues to gradually increase production. The mill is designed for capacity of 1,700 tons per day. At Canadian Malarctic, arose the interest covers approximately 50% of the Malarctic reserves. Osisko declared commercial production as of May 19, about 45 days after the first introduction of ore to the mill. During our third quarter, throughput average almost 37,000 tons per operating day resulting in more than 50% increase in the royalty revenue versus the June quarter and moving them into the top third of our revenue generators. Osisko is installing two cone pressures to achieve an overall mill throughput of 55,000 to 60,000 tons per day. The first cone crusher is expected to be operational in the first calendar quarter of 2012. And the second cone crusher is expected to arrive on site in the early part of the second calendar quarter of 2012. At Inmet’s Las Cruces mine in Spain, the many ongoing improvements installed and implemented during the last year continued to increase their production resulting in a 26% improvement over the prior quarter. Production in August was a record 4,500 tons of copper cathode as plant modifications during a June shutdown had a positive impact. Reactive performance and reliability continued to improve in the quarter and by the end of September, all eight reactors had operated reliably for 30 consecutive days. Major modifications of the plant have now been installed and are being commissioned. The plant is currently being tested at up to 100% throughput levels to assess its overall stability and identify any remaining bottlenecks. Inmet continues to target a ramp-up to production design capacity by year-end. Moving on to other assets that are in steady-state production. At Voisey’s Bay in Canada, our revenue was less than the prior quarter for a couple of reasons. First, nickel sales for the June quarter were notably stronger than prior quarters. In addition, plant maintenance during the second and third calendar quarter of this year resulted in lower revenue during this September quarter. At Minefinder’s Dolores mine, in addition to the cyanide supply shortage, there was an additional impact on production as the west side of the phase two leach pad suffered a crushed collection pipe. Heap leaching on the east side of the pad was advanced to maintain production. Minefinders’ expect calendar fourth quarter production to improve once the crushed pipe is repaired, the irrigation of fresh shore is expanded and the optimum cyanide concentration levels are restored. Alamos has also experienced cyanide shortages at their Mulatos mine. However, resumption of normal shipments, along with an additional shipment from an alternate supplier, will allow for an increase in cyanide concentration levels required to extract the gold ounces deferred from prior months. Construction of the new mill to process high-grade ore remains on schedule, with planned production in the first quarter of 2012. But Alamos and Minefinder’s have maintained their full-year production guidance. In Nevada, our principal properties at Leeville, Cortez, and Robinson all exceeded production levels from the prior quarter. Leeville was up by approximately 30% due primarily to a scheduled month-long outage in the previous quarter. And Cortez was up by 13% as more stockpile refractory pipeline ore was processed to gold stripe [ph]. Both Leeville and Cortez remain on course to meet their production guidance for calendar 2011. At Robinson, Quadra put five trucks transferred from their Carlota mine into operations during the quarter. In addition they completed removal of mud from the bottom of the pit and finalized access to higher grade material in the bottom of the roof pit. Also during the quarter, a single-day mine correction record was achieved and a record monthly average milling rate of approximately 48,500 short tons per day was realized. Royalty production was about 2% higher than the June quarter levels. Quadra did report that operations were impacted by localized slope stability issues that resulted in a re-sequencing of the mine plan and delays in accessing a portion of the higher grade material that was originally expected to be mined in the fourth quarter of calendar 2011. As a result, Quadra reduced the 2011 calendar year guidance to between 95 and 100 million pounds of payable copper. With regards to a couple of our development properties, Construction of Thompson Creek at Mt. Milligan project continued during the quarter and the overall project remains on schedule for completion in the fourth quarter of calendar 2013. Subsequent to the quarter end, we contributed $13.7 million of our $85 million commitment to fund construction. At Pascua-Lama (inaudible) continued to report that initial production is expected in mid-2013 with a contribution of 800,000 to 850,000 ounces expected in the first full five years of operation. At the end of the September quarter, earthworks on the Chilean side of the project were about 80% complete, while on the Argentinean or Lama side of the project, where the plant is located, earthworks were about 60% complete. With that, I’ll turn the call back over to Tony.
Tony Jensen: Thanks for the update, Bill. Turning to our financials, our balance sheet is growing stronger by the day with the decrease in net debt from approximately $112 million at September 30, 2010 to the current level of $69 million. We have working capital for about $150 million. This, coupled with strong and growing cash flow, and the availability of $155 million of undrawn capacity toward our credit line, gives us the resources to pursue additional opportunities. We are continuing to look for creative structures with appropriate risk mitigation to gain entry to earlier stage projects while actively pursuing nearer-term production opportunities. So as we wrap up our call here today, let me just summarize and say that this was yet another solid quarter of growth for the company. We are pleased to see important revenue contributions now coming from Holt and Canadian Malartic. Looking forward we expect to see a continued development expansion from Andacollo, Penasquito, Canadian Malartic, Holt, Wolverine, Mulatos and Las Cruces over the next few quarters as these projects work toward expanded and full production. Operator, that concludes our remarks today. We’d be happy to take any calls if there are some for us. Sorry, any questions if there are some for us.
Operator: (Operator instructions) And your first question comes from the line of Cosmos Chiu from CIBC. Your line is open.
Cosmos Chiu: Good morning, guys.
Tony Jensen: Hey, Cosmos, good morning.
Cosmos Chiu: Congrats on a good quarter. I’ve got a few questions here. Maybe first up on Andacollo. We’ve heard quite a few times about the expansion that’s going on there. And when you look at, I guess Teck’s guidance, they always talk about tonnage increases and also how that could impact copper production increases. On the gold side, would it be safe to assume that the percentage increase that we see, for example, for copper would be sort of the same percentage increase that we could see for gold?
Tony Jensen: Yes. Cosmos, we would guide you that direction. When we did the due diligence on the project, we took a careful look at the homogeneity of the gold and how it occurs with the copper. And it is pretty homogenous. So, in a rough sense, I think that’s a pretty safe assumption.
Cosmos Chiu: Okay. And then Tony, on the $0.02 per share loss, based on the restructuring of a non-principal royalty, I just want to get maybe a little bit more detail. I’m trying to get a little bit more comfort that this is indeed a one-time item.
Tony Jensen: Yes. What had happened there, the operator of the project First Gold had filed for bankruptcy on the Relief Canyon and their principal asset was the Relief Canyon property. And so, in order to help that whole thing move forward and not of bankruptcy, we thought it was wise to reduce our royalty rate from 4% to 2%. So, it is quite an anomaly. Of course, we stress test all of our assets on a quarterly basis for any impairment. And we don’t have any other concerns in our portfolio.
Cosmos Chiu: Okay. And maybe one last question. As we’ve seen with the big cap gold companies reporting this past week and we saw a lot of dividend increases coming through, many would argue that the royalty companies including Royal Gold could be in a pretty good position to increase their dividend – your dividend. Any kind of thoughts on that at this point in time?
Tony Jensen: I’ve said a number of times that that’s an issue that we usually take up in our November board meeting. And so, I certainly am not going to get out in front of the board on that issue. Let me say that we have been very, very pleased to increase our dividend, I think in the last 10 or 11 years. I think last year we went up about 22%. We’re at $0.44 currently and we’ll take that issue up with the board in just a few more weeks.
Cosmos Chiu: Great. Thanks. That’s all I have, Tony. Thanks a lot for your help.
Tony Jensen: Thanks, Cosmos.
Operator: Your next question comes from the line of Shane Nagle from National Bank Financial. Your line is open.
Shane Nagle: Thanks operator. Just a couple of questions guys. I’m not sure if you have any sense of the payment schedule for Mt. Milligan with the remaining, I guess, 70 million or so that’s yet to be paid. Safe to assume that’s kind of evenly distributed over the next year and a half or we get seven quarters or so?
Tony Jensen: Shane, let me introduce you to Stefan Wenger, our CFO to answer that question.
Shane Nagle: Okay.
Stefan Wenger: Hi, Shane. Thanks for the question. You did know we’ve got just over $70 million left in the payment schedule there. We would expect those payments would occur sort of in line with the construction schedule. So, to the extent, we’re looking at a mid-2013 start up at Mt. Milligan. You’d see that, the payment, sort of go out right over that time. I would say that we probably got a little bit of catch up here in this next quarter to catch up for some of the activity that’s occurred up to this point. So, you might see heavier payments in the next two quarters versus the remainder of that construction line.
Shane Nagle: Okay. So how does the (inaudible) kind of let you know what they’re contributing next quarter and then asking for the money or is it – they’ve paid a certain amount and then they ask you for a check at the end of every month or so?
Stefan Wenger: Yes. We have a process where they make a formal request to us and outline the spending that they’ve done to date and also look forward to the spending in the next quarter. We have an independent engineer that helps us just look at those numbers and make sure that we’re satisfied and then we go ahead and make the payments. So, there’s a formal process in place and it does give us an idea of where we’re headed into the next quarter.
Shane Nagle: Okay, great. And just one more if I could. Now, I know Osisko didn’t provide any guidance on kind of what part of the production is going to be coming from your royalty, but with the first kind of quarter under way, do you have any more color on kind of what percentage of their production is going to be attributable to the – or subjected, I guess, to the royalty that you have?
Tony Jensen: He was asking you. Should I answer the question?
Stefan Wenger: Yes, Shane, right now Osisko is in the process of updating some of their mine plans and when they get that, we’ll have a better idea of what that distribution is. The shape of the pit and the location of our interest does make some of that production variable. It’s not a steady 50% necessarily. But we’ll get more information as they finalize and revise those plans.
Shane Nagle: Okay. Is it safe to assume roughly 50% until we kind of see those plans going forward?
Stefan Wenger: I think that’s probably a reasonable assumption until we see the plan.
Shane Nagle: Okay. That’s great. Thank you very much.
Tony Jensen: Thanks, Shane.
Operator: Your next question comes from the line of Patrick Chidley from HSBC, your line is open.
Patrick Chidley: Hi. Good afternoon, everybody. I want to ask a couple of small questions, just a bit of housekeeping, really, on your interest on other income, I wondered if you could break that down, what kind of other income came in there?
Tony Jensen: Stefan?
Stefan Wenger: Sure. Patrick, it’s Stefan here. The interest in other income, as you might imagine, we’re making next to nothing on our cash investments.
Patrick Chidley: Right.
Stefan Wenger: That sum actually relates to gold sales that are made by the non-controlling interest that we have out there. So, we have a partnership called CBP. Those holders hold gold. They sell it from quarter-to-quarter, that all relates to those sales. And the gain they have on those sales come out in the non-controlling interest line that you see below our net income.
Patrick Chidley: Okay. All right.
Stefan Wenger: The other piece to that non-controlling interest relates to our operating income that relates to outside partners on both Voisey’s Bay and that NVR One Royalty.
Patrick Chidley: And also, that comes into income interest, right, that line there?
Stefan Wenger: It comes into the interest and other income.
Patrick Chidley: And also, can you comment on – I mean, the likelihood there may be a strike at Andacollo? I understand they’re going to wages agreements soon and re-negotiations and is there going to be an agreement soon? Was there a process by which they would reach agreement without some having to necessarily go on strike?
Tony Jensen: Patrick, we surely can’t comment on that. That’s probably something best for Teck to comment on. We’re just not involved in that level of labor discussions.
Patrick Chidley: Right. Okay. Thanks very much.
Tony Jensen: Thanks, Patrick.
Operator: (Operator instructions) And your next question comes from the line of Andy Schopick. Your line is open.
Andy Schopick: Thank you. Good morning, everyone. A couple of questions for Stefan. The Seabridge Investment, how is that carried on the balance sheet? Is that available for sale securities?
Stefan Wenger: Yes, Andy, that’s held is available for sale on the balance sheet so we market-to-market through other comprehensive income each this quarter. In our income statement we reported a loss through the equity portion there.
Andy Schopick: How many shares of Seabridge does it currently – does the company currently hold now?
Tony Jensen: Just over a million, Andy.
Andy Schopick: Just a little over man? Okay. Also, I had a quick question for you on the tax rates stuff and I noticed that’s around 32% effective versus around 34.5% a year ago. Are there any tax strategies or factors that will help to bring the overall effective tax rate down over the year ahead?
Stefan Wenger: Let me answer that in two parts. For this quarter we did have sort of a mini-guidance for the quarter where we did release some provision for uncertain tax positions that ran out on statutory timing. So that reduced the rate from what’s our effective rate of about 35% down to that 32%. I would expect a full rate for our fiscal ’12 to be in that 34% to 35% in that range, similar to what you noted from last year.
Andy Schopick: Okay.
Stefan Wenger: The second part of that question really is on our tax planning, we’re very active in tax planning strategies with each deal we do and with our overall corporate structure. You’ve probably heard us talk before about our strategy with respect to the streaming deals, which is more tax efficient for us. I wouldn’t suggest that during the next year any strategies would bring down our rate, but over the long-term we’re heavily focused on reducing our tax rate so we can be competitive.
Andy Schopick: Finally, will the 10-Q be available tomorrow or the next day?
Stefan Wenger: Yes. We expect to have that on file as early as today, but no later than tomorrow.
Andy Schopick: Great. Thank you very much.
Stefan Wenger: Thank you, Andy.
Operator: And there no other further questions in queue.
Tony Jensen: Well, thank you very much for joining us. We’re very proud of the quarter that we just completed and we look forward to working hard towards a very good quarter next as well and reporting that to you in due course. Thank you for joining us today.
Operator: And this concludes today’s conference call. You may now disconnect.